Operator: Greetings. Welcome to the Federated Hermes, Inc. Q4 2024 Analyst Call and Webcast. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Ray Hanley, President of Federated Investors Management Company. You may begin.
Ray Hanley: Thank you, Holly. Good morning, and welcome to our call. Leading today's call will be Chris Donahue, Chief Executive Officer and President of Federated Hermes; and Tom Donahue, Chief Financial Officer. Joining us for the Q&A are Saker Nusseibeh who is the CEO of Federated Hermes Limited; and Debbie Cunningham, the Chief Investment Officer for our money markets. During today's call, we will make forward-looking statements, and we want to note that Federated Hermes' actual results may be materially different than the results implied by such statements. Please review the risk disclosures in our SEC filings. No assurance can be given as to future results, and Federated Hermes assumes no duty to update any of these forward-looking statements. Chris?
Chris Donahue: Thank you, Ray. Good morning. I will review Federated Hermes business performance, and Tom will comment on our financial results. We ended 2024 with record assets under management of $830 billion, driven by record money market assets of $630 billion. Now looking first at equities. Assets decreased by $4.2 billion from Q3, due mainly to net redemptions of $2.5 billion and FX impact of $1.3 billion. As mentioned last quarter, net redemptions included $1.5 billion from a sub-advised fund that was internalized by the fund sponsor. Q4 saw a further improvement in flows from strategic value dividend strategies, both domestic and international. These strategies had Q4 net redemptions of $222 million in the funds and SMA combined, compared to $779 million in Q3. Through January 24th, these strategies have had net sales of $139 million. We also saw continued solid performance of flow results from the MDT fundamental quant strategies in Q4, capping off a strong year. MDT strategies topped $13 billion in assets at year end, up 70% from year end '23. MDT fund and SMA strategies had $3.4 billion in net sales in 2024, up from $411 million in 2023. These strategies had about $1.2 billion in net sales in Q4, up from $837 million in Q3. Through January 24th, these strategies have had net sales of $862 million. During the second half of 2024, we expanded the MDT product set by launching four active ETFs and a new collective fund. These funds have assets of approximately $424 million as of January 24th. We have had net sales in 14 equity fund strategies during Q4, including MDT mid-cap growth, MDT large-cap growth, U.S. SMID Equity Usage Fund, MDT All Cap Core and the U.S. Strategic Dividend ETF. Looking at our equity fund performance at the end of '24 and using Morningstar data for its trailing three years, 56% of our equity funds were beating peers and 36% were in the top quartile of their category. For the first three weeks of Q1, combined equity funds and SMAs on the equity side had net sales of $542 million. Now turning to fixed income. Assets decreased by about $2.1 billion in the fourth quarter due mainly to market valuations of about $1 billion and net redemptions of about $950 million. Fixed income funds had Q4 sales of $308 million. Fixed income separate accounts had Q4 net redemptions of $1.3 billion, due mainly to redemptions from a large public entity that has regular sizable inflows and outflows. We had 16 fixed income funds with net sales in the fourth quarter, led by Total Return Bond Fund and the government Ultrashort Fund. Regarding performance at the end of '24 and using Morningstar data for trailing three years, 45% of the fixed income funds were beating peers, 18% were in the top quartile of their category. For the first three weeks of Q1, combined fixed income funds and SMAs had net redemptions of $28 million. In the alternative private markets category, assets decreased by $1.8 billion in the fourth quarter, mainly due to the impact of FX rates, $1.2 billion, and net redemptions which included approximately $547 million related to the previously discussed senior portfolio manager departure in mid-'24. Now we are in the market with our European Direct Lending III, the third vintage of our European direct lending fund. To date, we've closed on approximately $350 million. Target raised, $750 million. For information, EDL I raised about $300 million, EDL II, raised about $640 million. We're also in the market with the Federated Hermes GPE Innovation Fund II, the second vintage of our pan-European growth private equity Innovation Fund. To-date, we've closed on approximately $110 million. The target raise is $300 million, and the first vehicle raised $240 million. We're also working on the European real estate debt fund, a new pooled European debt fund targeting Q1 first close and planning to continue to market in '25, overall target $300 million. We're also launching the private equity -- global private equity co-invest fund the sixth vintage of the PEC series. Target raised $500 million. And PECs 1 to 5 raised approximately $400 million to $600 million in each fund. Now we began 2025 with about $3.7 billion in net institutional mandates yet to fund, into both funds and separate accounts. Equities expected net additions totaled $1.6 billion, with wins in growth, MDT and global equity. Approximately $1.5 billion of net total wins is expected to come into private market strategies, including wins in private equity and direct lending. Fixed income expected net additions totaled about $616 million, with wins in Ultrashort duration and sustainable investment-grade credit and government bonds. Now moving to money markets. We reached another record high for money market fund assets at the end of '24, namely $462 billion, and total money market assets of the aforementioned $630 billion. Total money market assets increased by about $37 billion in Q4, as money market funds added $21 billion and money market separate accounts added $16 billion. Market sentiment around short-term interest rates indicates a higher for longer view, which is conducive for growth in money market strategies. Higher rates support a positive view of cash as an asset class. Money market strategies in this environment have attractive yields compared to alternatives like bank deposits and direct investments in T-bills and commercial paper. Our estimate of money market mutual fund market share, which includes our sub-advised funds, was about 7.22% at the end of '24, down slightly from about 7.32% at the end of Q3. Now looking at recent asset totals as of a few days ago. Managed assets were approximately $839 billion, including $634 billion in money markets, $83 billion in equities, $100 billion in fixed income, $19 billion in alternative private markets and $3 billion in multi-asset. Money market mutual fund assets were at $455 billion. Tom?
Tom Donahue: Thanks, Chris. Total revenue for Q4 increased $16.2 million, or 4% from the prior quarter, due mainly to $5.3 million of higher revenue from equity assets and $5.1 million of higher revenue from money market assets. Q4 revenues were reduced by $1.7 million in waivers related to additional fund proxy costs, compared to $5.9 million in fund proxy costs recorded in Q3. Total Q4 carried interest and performance fees were $4.8 million, compared to $3.5 million in Q3, approximately $3.2 million of the Q4 fees were offset by nearly the same amount of compensation expense. The Q4 sub-advised account redemption that Chris mentioned occurred mid-quarter and impacted Q4 revenues by about $627,000. The impact in Q1 and future quarters will be about $1.5 million per quarter. Q4 operating expenses increased by $17.5 million from Q3 due mainly to $13.8 million of FX-related expense increases in the other expense line item as the pound weakened versus the dollar. Compensation and related expense was up slightly from Q3, as higher incentive compensation was largely offset by lower severance expense. Advertising and promotion expense increased due mainly to the timing of our advertising campaign spend. The Q4 tax rate of 25.4% was lower than the expected range. We expect the tax rate to be in the 26% to 28% range for 2025. At the end of the year, cash and investments were $641 million. Cash and investments, excluding the portion attributable to non-controlling interest was $588 million. Now looking ahead to Q1, certain seasonal factors will impact results. Based on Q4 average asset levels, the impact of fewer days is expected to result in about $9.2 million in lower revenues and about $2 million of lower distribution expenses. In addition, based on our early assessment, compensation and related expense is expected to be higher than Q4, due primarily to about $7 million of seasonally higher expense for stock compensation and payroll taxes. Of course, these items and others, including incentive compensation, will vary based on multiple factors. Holly, we would like to open the call up for questions now.
Operator: Certainly. At this time we will be conducting a question-and-answer session. [Operator Instructions] Your first question for today is from Patrick Davitt with Autonomous Research.
Patrick Davitt: Hi. Good morning, everyone. I'm going to start with a higher level question on the money market fund market share, excluding the SMAs. It feels like the SMAs are kind of making up what looks like a little bit of market share loss on the fund side. Could you speak to maybe any trends that are going on that would kind of explain why some of the other large money fund complexes, say, at the banks or even other large asset managers like BlackRock are seeing so much higher fund flows, mutual fund flows than you guys? I appreciate that the SMAs are making up for that, but I'm just curious what dynamics you are seeing there and maybe we can't see from our position? Thank you.
Chris Donahue : I'll talk a little bit, Patrick, then Debbie will offer some comments. The first thing is I went back and looked over our market share data for the last three years that we've been giving you every quarter. And you average all those numbers, and it turns out to be between 7.33% and 7.32%. So looking at it over one quarter where we were at 10th of a percent less, okay, yes, you can say that's loss of market share. We don't lose any clients in the process. And you see the ebb-and-flow of big amounts of money from clients. So I don't have any worries about losing market share. I'll let Debbie give you a better pulse of the marketplace response.
Deborah Cunningham : Thanks Chris. And I apologize if there's any background noise. But ultimately, I agree 100% with everything that Chris just said. The market share loss is not a loss in the context of clients. It may just be some large flows at year-end, which is one of our most volatile times of the year. What I would say and kind of defensive that position is that, generally speaking, the first quarter of every year on a cyclical basis tends to be the worst from a mutual fund flow basis. And we are not seeing that this year. Now maybe that will change. We are only one month into the first quarter. But ultimately, we think that's a very positive trend.
Patrick Davitt: Helpful. And then as a quick follow-up, obviously rebuilding a fairly large cash balance. Stock price has been range bound, but you ratcheted down the repurchase quite a bit. So maybe update us on how you're thinking about repurchases through the lens of the range-bound price and now much higher cash balance again? Thank you.
Tom Donahue : Well, Patrick, looking backwards, ratchet down, okay, we were buying the stock as it was going up. And then right as soon as we weren't allowed to buy anymore, the stock went down. And these are all fit into our models of which tell us that because of our belief in the growth of the firm, the price is still significantly under value. So we have to do two things. Look at it on a high level and say, should we be buying stock? The answer to that is yes. And then we get every day to get to decide, okay, is today better to buy or tomorrow better to buy. And I think that's really how we would characterize the quarter, which I don't really view ratcheted down, and we expect to buy in 2025.
Patrick Davitt: Thank you.
Operator: Your next question is from Ken Worthington with JPMorgan.
Michael Cahill: Hi, good morning. Thanks for taking my question. This is Michael Cahill, I'm in for Ken today. I just wanted to follow up on the money market discussion. You called out the change in rate backdrop in your opening remarks, higher for longer rates. And I guess, do you envision flows strengthening from here for your money fund business, and I think that you called out the start of the year seems to be strong on the mutual fund side. And so I guess I'm just trying to understand, or better appreciate how you envision the money fund business here and the higher for longer backdrop, as well as maybe some of your Ultrashort products as well, which seem to make up a considerable portion of the business. Thanks.
Chris Donahue : Well, once again, we'll double team that answer. I'll go first. When you have rates as they are and going down and having a better relationship to the deposit rates, we believe the retail trade continues to be a very, very good trade. The institutional trade is available for institutions that are doing things not exactly for getting the extra basis point. So to us, that means we still have a positive attitude about the money fund business. To an owner operator, even though the rates didn't drop so fast that you created a big push for institutional business, even though that didn't happen to an owner operator, this is still a great time for money funds because they are a great advantage in the marketplace. And that's why I said it gives a lot of credence to cash as an asset class. And remember, and I've said this before. If you have a five handle, it's total Nirvana. If you have a four handle, it's delightful on a money fund. At a three handle the clients are still quite sanguine about being there. But the war is still between the adviser who's worried about missing out, and trying to convince the customer to maybe move up. Then you have in the marketplace, a lot of people recognizing that cash deserves more than a 10 or 20 or 100 basis point type return. And that comes from a lot of factors, competitive, legal, regulatory, et cetera. So that sets a good stage for our business. Debbie?
Deborah Cunningham : I wholeheartedly agree. I think maybe a couple of things to add with regard to that. When you look at the expected terminal rate in the current environment versus where it was six months ago in the second -- in the latter half of 2024, it's 50 basis points higher, it's substantially higher. And the expectations with what might happen from an inflationary standpoint, the stickiness of it, from a growth standpoint with the new administration's policies, I think again, allow us to be very comfortable that the Nirvana maybe doesn't start to happen again. I'm not a believer of a tightening later in the year, although there are some in the market that are, but the delightful aspect of it, I think is still there. And ultimately, when you have additional users that have come into the market over the course of the last two-plus years, they are not leaving. And more than likely, they're going to increase their balances because their own cash is increasing from a standpoint of their balance sheet and what they're receiving with a good economic backdrop to have invested in this asset class. So our outlook continues to be maybe not percentage growth that exceeds what we saw in 2023 and '24, but certainly continued substantial growth in the sector.
Michael Cahill: Great, thanks for all that color. If I could just switch gears for a second. I just want to touch on ESG and your very sustainable -- sustainability front, I mean with seemingly less focused on broader ESG products in recent years and maybe even more so now. Can you just kind of remind us and talk through how some of your ESG and sustainability products like Global Equity or Global ESG and various impact funds might be positioned in the market in the years ahead? Thanks.
Chris Donahue : I will talk about that from the point of view of the acquisition and a broader element than the questions you're asking. Saker and Debbie will comment on those funds. When we did the Hermes acquisition back in '18, we had already decanted through a lot of good legal work that you can say yes to fiduciaries while using ESG so long, as you are focused on the risk-reward and the returns to the underlying investor. And therefore, we continue doing that because these are good tools, additional information and analysis that assist portfolio managers and teams in making investment decisions. And this is what we still believe. Now I'll let Saker comment on some of the funds that you mentioned.
Saker Nusseibeh : Thank you, Chris. So just to reiterate an essential point about how one uses the terms. At the old Hermes, which is Federated Hermes Limited, we have always used ESG as a factor as part of our sustainability study to help us achieve better financial return in the long-term. Now we also live in a different part of the world with different market expectations and different requirements. And there are some people in Europe who also want specific funds which are not just aiming for outright returns but aiming for specific outcomes. We do not consider these to be mainstream ESG funds. We consider these to be thematic funds. Then going back to answering your question. As far as the main fronts, global ESG, for example, that continues to do well and it continues to see interest from clients because ultimately, clients either buying it because performance is good or because they want to double materiality, which for them is important. If you look at the same thing in our fixed income funds, the SDG Fixed Income Fund continues to see interest. If you look at the thematic funds, these have ebbs-and-flows depending on what the advisers in Europe are advising the clients to go into the funds. And of course, are affected with the risk on risk of element. The lack of -- the strength of flows, we've seen this come back. But in the last year or so had more to do with the risk off sentiment in Europe than it did with the fund specifically. So as far as we're concerned, the funds are doing seat the clients want. They're giving back the returns exactly as the clients want and they abide by what the regulators want, both here and in the U.S., because they are fulfilling the fiduciary duty of trying to achieve the best financial outcome with the exception of very specific thematic funds sold in Europe for specific outcomes.
Michael Cahill: Great. Thank you so much.
Operator: Your next question for today is from Dan Fannon with Jefferies.
Unidentified Analyst: Hi. This is Trevor [indiscernible] on for Dan. For my first question, can you speak to the priorities of spending into 2025 and where it's differing from last year? And how we should think about the rate of growth for those investments?
Tom Donahue : Sure. I think I've already addressed comp, at least for the first quarter compensation because of the payroll and bonus and recalibrating incentive comp, at least first quarter wise and into the future there. If things are going great, we'll be paying more there. Same thing on the distribution side. We reflected that less days in Q1 will knock that down a little bit, but that's on an asset basis from the fourth quarter. If -- and we expect to raise more assets, the distribution line will go up. On the systems and communication lines, I would say, we expect to have a step up there. Somewhere around -- on a quarterly basis, about $3 million, and that would be into each quarter into the future, and that's market data and technology spending related. And the rest of the areas, I really don't have much change expectation. Of course, the other line, the infamous other line with FX. And remember, we are hedging our expenses in London. And so when we get -- the pound goes down, it doesn't really affect us because then we pay less pounds over for our expenses in London. So over a year basis, it doesn't – we are hedged basically. I can't control the non-operating line with our seat money and whether that goes up or down and the tax. We -- I think we already addressed the tax line. The reason why it was up -- I'm sorry, the reason why the tax rate was down a little bit was because the stock price was up. And so as we had vestings that caused the tax rate to go down, so that was a benefit.
Unidentified Analyst: Great. I appreciate the color there. And then for my follow-up, on alternative products, the overall market interest has been pretty strong. Are there certain areas of the firm you guys view as subscale? And what specific areas would you guys like to invest in, or areas or regions?
Chris Donahue : Would you please repeat that? It got garbled.
Unidentified Analyst: Yes, yes. So on alternative products, the overall market interest has been pretty strong. What areas within the firm are view to subscale? And are there specific areas or regions that you guys are looking to expand?
Chris Donahue : Okay. Yes, there are a couple of areas that are interesting to us that are subscale. One would be infrastructure where we are interested in improving that situation. And then another one is in real estate, where we don't do any of it in the U.S. And we've talked about that on these calls for a number of times where we would be willing to expand to be able to do the kinds of things that Chris Taylor and his team have done on the U.K. side, especially with King's Cross, Paradise Circus and Birmingham and other places, to do those kinds of regeneration projects in the U.S. So those would be to where I would say we'd love to get past or get greater size and activity. The ones where, even though, we may be small like in direct lending, it is a couple of billion, but we still have great opportunities, as I've mentioned. And on the PE side, we are looking at very good opportunities with the numbers that I mentioned. I don't have to go over them again. So we are pretty strong there. Another one, depending on how you count it, is trade finance, which is the short end of private credit. And there is a lot of interest in that across the globe. I was out with clients in Hong Kong and Singapore two weeks ago, and this is a very, very interesting opportunity on the trade finance side. And so that's another one where, again, it's about $2 billion, but we've got good records, good projects and good opportunities with clients.
Unidentified Analyst: Sure. Thank you.
Operator: Your next question is from Robin Holby with TD Cowen.
Robin Holby: Good morning. This is Robin Holby on for Bill Katz. Thank you for taking the question. Follow-up on the last private markets question. Just given capital markets activity is accelerating, what is your near-term outlook for realizations in the portfolio? And when do you expect the fundraising, with respect to the funds that you mentioned, that start to offset these distributions? Thank you.
Chris Donahue : I'm going to let Saker take a swing at that pitch.
Saker Nusseibeh : Thank you, Chris. So the answer is we are distributing as we speak and raising assets as we speak. The whole point about having PEC VI following PEC I to V, is as PEC V pays out PEC VI comes in and raises new capital. It is the nature of capital markets. If you look at direct lending, we paid off a debt [technical difficulty] and actually, I think I'm making more than that, and we're in exactly where we are in the cycle. And of course, returning assets to the clients is a sign of success because it shows that we have made the success of whether it is in private equity, whether it is infrastructure, whether it's in direct lending. So returning assets to the client is a sign of success and then triggers more flows coming our way. So we are in the midst of the cycle, and we're pleased with what we're seeing. And more importantly, our clients are pleased with what we are seeing and coming up to re-up a lot of the money that we raised are re-ups from old clients across our strategies, which tells you we are in a good place. I hope that answers the question.
Robin Holby : Excellent. That’s helpful. Thank you very much.
Operator: Your next question for today is from John Dunn with Evercore ISI.
John Dunn : Thank you. Great to see strategic value dividend improving and flipping positive so far this year. But can you kind of contextualize how people think about that fund and the demand for it given the backdrop of markets and rates?
Chris Donahue : Yes. The way people -- the way this product is presented is that the dividend fund with an idea towards growing dividends. A lot of times, historically because this fund will be either at the top of the chart or the bottom of the chart because it doesn't belong in the class where the charts put it, people will tend to buy it because it is at the top of the chart. Not for the right reason that it is a dividend fund looking for growth in dividends. One of the interesting things about the dynamic here is that even when the fund last year was in negative flows, the strategic dividend ETF was gaining traction. And so someone buying that particular aspect of strategic dividend shows you that they understand that it is a dividend fund. So today, many of the people coming in are looking at this as a stepping stone into the market. You get a good yield and yet you do participate in the market. And if there is a broadening out, you get paid a dividend along the way. And so this fund is turning up pretty good numbers right now.
John Dunn : Got it. And then -- is there any kind of chunky institutional mandates you could point to that might be at risk? And then just more broadly, what areas of institutional are you worried could be at risk?
Chris Donahue : Well, the first thing is on the institutional side, we are on a short leash everywhere. And so it is everybody. Basically, even though the institutions say they are there for however long, they have the right to pull the money any time for any reason or for no reason. So I can't say that we are not at risk anywhere. And but it's not like the kind of risk you are talking about, where we're worried about losing something, but I'm going to let Ray talk about that for a second.
Ray Hanley: Sure, John. When we give our pipeline numbers, so the [3.8] (ph), that's net of any known redemptions coming through the institutional side, which could be in a separate account or in a fund, sometimes they're using funds. And the known redemptions were very, very low this quarter. We don't have really visibility to any material redemptions on the institutional side. Now as Chris says, I mean, that can always change. And then you have clients like we talked about, the large public entity that on a regular basis, they may not tell us there is a redemption coming, but they have cash come in and they use cash. And so you have those kind of swings. But at this point, in terms of visibility, there is not anything material out there on -- from an outflow standpoint. On the other hand, the inflow pipeline continues to build, in particular for the NDT strategies, which have, as noted in the remarks, really accelerated in terms of gross sales, net sales, asset growth, getting strong institutional interest they make up the big increase we had in our equity pipeline wins for the institutional side that was driven by MDT, and we have a bunch of other ones that are bubbling around that aren't in that number yet that we are very optimistic about some of those being of good size.
John Dunn : Thanks very much.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Ray for closing remarks.
Ray Hanley : Thank you, Holly. That concludes our call. Thank you for joining us today.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.